Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good day ladies and gentlemen and welcome to the Cementos Pacasmayo Third Quarter twenty twenty one Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions and comments after the presentation. 00:25 It is now my pleasure to turn the floor over to your host for today, Claudia Bustamante. Ma'am, the floor is yours.
Claudia Bustamante: 00:34 Thank you, Kate. Good morning, everyone. Joining me on the call today is Mr. Humberto Nadal, our Chief Executive Officer; and Mr. Manuel Ferreyros, our Chief Financial Officer. Mr. Nadal will begin our call with an overview of the quarter, focusing primarily on our strategic outlook for the short and medium-term. Mr. Ferreyros will then follow with additional commentary on our financial results. 00:56 We’ll then turn the call over to your questions. Please note that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends, and other matters that are not historical facts and are therefore subject to risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company's regulatory filing. 01:18 With that, I'd now like to turn the call over to Mr. Humberto Nadal.
Humberto Nadal: 01:22 Thank you, Claudia. Welcome, everyone to today's conference call. This quarter's segment shipments continued its very strong trend, reaching record revenues levels. Self-construction is still the main driver of this growth, but concrete sales have increased significantly this quarter. 01:40 Year on year growth of concrete sales was seventy three percent with a very solid margin of twelve percent. We're looking at quarter on quarter results that is still substantial growth of twenty one point two percent. Furthermore, if we look at margins, there has been an outstanding increase of eight point two percentage points. 01:59 The main driver of this growth in both volumes and margin comes from the demand from reconstruction related projects, which should continue at least for the next eighteen to twenty four months. This financial growth we have experienced this year could not have been foreseen. 02:14 If we compare cement shipments, year to date to the same period of twenty nineteen, which I may say was already a record year, the growth rate is almost an incredible forty percent. Because of this, for almost a year now we have been using some imported clinker along with our own clinker in order to produce all of the cement that is demanded in our – or influenced by all of our clients. 02:37 We have successfully used a similar strategy while building our new capacity in Piura around seven years ago. However, current market conditions are different in many ways, making less profitable today to use imported clinker. 02:52 Freight prices have gone up significantly in turn increasing the cost of importing clinker and experts agree that this situation is unlikely to change in the short to medium term. This situation led us to re-evaluate our current strategy and to think outside the box. This is an original plan of investing in Pacasmayo was too costly and would take too long considering the pressing need. 03:16 This is why after capital evaluation, we have decided to embrace approximately seventy million dollars to build an additional six hundred thousand tons of clinker per year capacity, effectively eliminating the need to use imported clinker. 03:32 The demand remains similar what it is today. We believe this project is the best alternative given current marketing conditions since it optimizes our current capacity, making the Pacasmayo plant a more balanced one in terms of clinker cement production capacity, and it delivered results in approximately eighteen months, which is much shorter than our original plan, which was closer to forty months. 03:55 We are absolutely confident that this investment will be very profitable for the company and it verifies our commitment and confidence in the development of the country. 04:05 Finally, I would like to talk briefly about our new hybrid work model. This pandemic has made us innovative, fast track processes that were already underway and rethink many others. Most of our administrative staff have been working from home since March twenty twenty. Throughout this period, we have been constantly in touch with our people underneath. 04:28 So, following these wishes, a neat and constantly improving COVID-nineteen numbers and the advance of vaccination process in Peru, we decided to implement the happy work model since October. We have carefully, extremely carefully put in place all of the necessary safety protocols in order to ensure a safe voluntary return to the office. 04:48 We believe a work like balance is crucial to overall well-being and [indiscernible] and productivity. Happy people come for great results. There's also interaction that happens at the office part of this balance has been missing for over a year. The purpose of this return is to reconnect, promote our culture, and to generate greater value for our clients and the company. 05:11 We are aware that there will be much to lean and adjust during this process, but I’m confident that this is another step towards our purpose to build together the future we dream of. 05:22 I will now turn the call over to Manuel for more detailed analysis of the financial results.
Manuel Ferreyros: 05:30 Thank you, Humberto. Good morning, everyone. Third quarter twenty twenty one revenues were five seven point two million, a twenty four point five percent increase when compared to the same period of last year, mainly due to the continued increase in cement sales volume, as well as increase in sales volume of concrete this quarter and an increase in price of both cement and concrete in line with inflation. 05:57 Gross profit increased thirteen point two percent compared to the third quarter of twenty twenty, mainly due to increased revenues. Consolidated EBITDA was hundred seventeen point three million in the third quarter, a slight decrease when compared to the third quarter of twenty twenty, mainly due to increased cost derived from the use of imported clinker, as well as higher expenses. 06:23 During the third quarter of twenty twenty, there were significant budget constraints as we recovered from the effect of the lockdown and halt in commercialization. EBITDA margin for the third quarter was twenty three point one percent, a two point seven percentage points increase, compared to the previous quarter. 06:23 During the nine months of twenty twenty one, revenues increased seventy two point one percent and gross profit increased seventy six point seven percent when compared to nine months of twenty twenty. Mainly due to the increase in sales, as well as above mentioned halt in operations from mid-March to mid-May in twenty twenty. 07:07 Turning to operating expenses, the administrative expenses for the third quarter of twenty twenty one increased forty point four percent, compared to the same period of last year was thirty two point one percent, mainly due to the increased workers profit sharing in line with increased income tax base as well as increased third party services, mainly COVID-nineteen related expenses to comply with protocols to ensure the safety of our workers, software and licenses, training and workers composition. 07:47 As mentioned about administrative expenses during the third quarter of twenty twenty were very low, since we had implemented budget restrictions during twenty twenty, after the whole introduction and commercialization. During the nine months of twenty twenty one, administrative expenses increased thirty two point one percent with compared to nine months of twenty twenty, mainly due to the increased sales, as well as saving implementation, during the nine months of twenty twenty to also the negative effects of the halt in operations. 08:21 Selling expenses increased fifty one point one percent in the quarter compared to the same period of last year and thirty five point seven percent in nine months of twenty twenty one compared to the same period of last year, mainly due to an increase in variable salaries and advertising and promotion in-line with increase in sales. 08:43 Moving on to a different segment, cement concrete and free cash sales increased twenty seven point three percent during the third quarter of twenty twenty one, compared to the same period of twenty twenty, mainly due to the increase in sales of baggage cement and concrete, as well as increased prices for both of this. 09:05 Gross margin decreased three point five percentage points in the third quarter of twenty twenty one when compared to the same period of twenty twenty, mainly due to the increased cement margin because of the use of imported clinker. 09:19 During the nine months of twenty twenty one, sales of cement, concrete and precast increased seventy four point five percent and gross margin increased point six percentage points, mainly due to increased sales and the halt in commercialization during the second quarter of twenty twenty. 09:39 Sales of cement increased twenty three point two percent in the third quarter compared to the third quarter twenty twenty, mainly due to increased shipments of baggage of cement, as demand in North continued booming during this quarter, as well as price increase in line with inflation. 09:57 Gross margin decreased three point two percentage points, mainly due the need of use in imported clinker to certify the outstanding levels of cement demand. During the nine months of twenty twenty one, sales of cement increased seventy two point five percent and gross margin remained in line when compared to the same period last year, mainly due to the increased sales of self-construction during twenty twenty one, as mentioned above, as well as the halt in production and commercialization mentioned before. 10:31 During the third quarter of twenty twenty one, concrete and pavement sales increased seventy two point eight percent and gross margins increased three point four percentage points, mainly due to higher sales volume and higher prices, both as a result of demand for our construction related projects. 10:50 In terms of pricing, during this quarter, we also decided to slowly, but persistently increase price, since they were at a low point after the lockdown in twenty twenty and the slow recovery afterwards. This alongside higher prices for more complex type of cement for our construction projects has allowed for the significant margin expansion, which we are confident will be sustainable for at least next month. 11:23 During the third quarter of twenty twenty one, precast sales increased fifteen point eight percent compared to the same period of last year and twenty three point three percent in the nine months of twenty twenty one compared to the same period of prior year, mainly due to increased sales of light precast products such as blocks and pavement for reconstruction related project. 11:46 Gross margin during the third quarter of twenty twenty one decreased twelve point three percentage points, mainly due to sales mix as we sold higher margin products during the third quarter of twenty twenty. However, gross margin during the nine month of twenty twenty one increased five point two percentage points. 12:06 During the third quarter of twenty twenty one, quicklime sales decreased twelve point two percent, mainly due to increased demand in the first part of the quarter, partially offset by higher sales towards the end, which will continue during the fourth quarter of this year. During the nine months of twenty twenty one, quicklime sales increased eight point one percent, mainly due to higher sales volume. 12:32 Gross margins remained net in the third quarter of twenty twenty one and nine month of twenty twenty one when compared to the third quarter and nine quarter respectively of twenty twenty. 12:45 During the third quarter of twenty twenty one, construction supply sales were in line with the same period last year. Gross margin decreased three-point one percent in points in the third quarter of twenty twenty one compared to the same period of past year, mainly due to the exchange rate effect that affected the cost of imported material such as the steel bars. 13:07 During the nine months of twenty twenty one, construction supplies were increased, sales increased sixty six point three percent compared to nine months of twenty twenty. Mainly, due to unusual low sales during the second half of last year. In terms of debt, our net debt to EBITDA ratio is two point six times, which is a level we feel very comfortable at. 13:34 During this quarter, we obtained a syndicate loan between Banco de Crédito and Scotiabank with a nine year maturity in the currency of [soles] [ph] at a rate of five point eighty two percent per year. With this plan, we will pay the short-term bank loans and the contract also includes the plans to pay international bonds due twenty twenty three. 14:01 We believe that given the situation this operation has been an absolute success both in terms of the rate and the turn. In this way, we have secured plans to pay our short-term, the remain the remainder of the bonds we believe that we therefore have an optimal finance structure to face uncertain times. 14:24 To summarize, this quarter results shows resilience in volumes of despite political uncertainty. We are convinced that our decision to expand to optimize capacity is the best possible during these times, and that we will soon reap the benefit in terms of profitability. 14:48 Can we now please open the call to questions?
Operator: 14:54 Thank you. [Operator Instructions] Our first question today is coming from Adrian Huerta at J.P. Morgan. Your line is live. You may begin.
Adrian Huerta: 15:24 Hi, Manuel and Humberto, congrats on the results. Quick question on margins, we saw the gross margins for cement at almost thirty five percent, what was the margin on imported clinkers during the quarter? And is this higher freight cost already impacted the cost of imported clinker during the quarter, or should we expect increased costs on imported clinker in the fourth quarter versus this quarter?
Manuel Ferreyros: 15:50 Hello, Adrian. How are you? Yes. What we've used this third quarter of twenty twenty one had to do with more than one hundred thousand tons of clinker. This has impacted in around fifty million soles in this quarter. For the fourth quarter, we spent a similar consumption of around one hundred and thirteen thousand, and the cost will be very similar to the third quarter. The over cost.
Adrian Huerta: 16:23 Sorry. The 50 million soles is what, the cost of the important clinker?
Manuel Ferreyros: 16:29 The excess cost of imported clinker.
Adrian Huerta: 16:32 Versus the clean that you've produced?
Manuel Ferreyros: 16:37 That's right. Yes.
Adrian Huerta: 16:38 And again, the higher freight that we're seeing over the last couple of months, should we continue to see this cost on a per ton basis to increase in the fourth quarter?
Humberto Nadal: 16:54 According to – this is Humberto, how are you? According to [Multiple Speakers] – we should not see any more increases on freights during this coming quarter.
Adrian Huerta: 17:06 Okay. Thank you. And if I may ask another question on demand. What percentage of your volumes year-to-date, you think are attributed to the reconstruction efforts?
Humberto Nadal: 17:19 Around ten percent.
Adrian Huerta: 17:22 Ten percent. Perfect. [Multiple Speakers]
Humberto Nadal: 17:26 If I may elaborate, I mean, the strong demand is fundamentally based on self-construction. That's why we are so optimistic for the future. I mean granted reconstruction G2G, government spending is important, but I mean self-construction is what really is moving the demand so higher.
Adrian Huerta: 17:46 And are you guys seeing remittances is growing strongly in Peru?
Humberto Nadal: 17:53 I don't know the information on that, but the one thing I may tell you is when we came out from pandemic towards the end of last year, we conducted a very extensive in-depth analysis of why was demand so high because we were surprised by when we reached three hundred thousand tons per month. And we were concerned it was related, mainly to government bonds, so some kind of help to the pandemic. 18:16 Surprisingly so, when we asked the people, I mean, we will a building or people that were thinking about building over the next forty five days, how was the financing investment? Only four percent said, it was thanks to some help from government, almost eighty percent said that with their own money, and only around ten percent said they were borrowing the money. So, I mean the base of the demand was basically the work of these people.
Adrian Huerta: 18:43 Yeah. I'm not sure how [Multiple Speakers] in Peru, but least in Mexico and in the Caribbean, it was quite relevant and remittances are growing twenty percent this year and they were also up strong last year and that's where it's been driving back, cementing in this country. So, I wonder how important is remittances in Peru, but I have no idea? Okay. Thank you.
Humberto Nadal: 19:11 If I might talk about remittances, they are not as important as they are in Ecuador or Mexico and other countries. I mean, here what we are seeing is that the north part of Peru has a condition of full employment. And it has had that condition over the last eighteen years, thanks to the other agriculture going very strong, fishing going very strong, building going very strong. 19:31 So, I think the base here and if I double pick on that answer of eighty percent of people of their own money, very few mentioned that this money was based on [remittances] [ph]. The also said, it was based on the money they were being able to save because they were fully employed.
Adrian Huerta: 19:47 Thank you, Humberto.
Humberto Nadal: 19:52 Nice to hear from you, Adrian. Take care.
Operator: 19:55 Thank you. [Operator Instructions] Our next question today is coming from Francisco Suarez at Scotiabank. Your line is live. You may begin.
Francisco Suarez: 20:11 Thank you so much. Congrats on the results and apologies if I missed the earlier remarks. The question that I have is that, related with your expansion on the Pacasmayo plant, it seems that seventy million dollars, it seems to be a low priced investment. So, what I want to understand is, I think that you might be considering an expansion that will not consider a new grinding unit need, and perhaps, if you can elaborate a little bit on the tons per capacity of clinker of that new line? Thank you so much.
Humberto Nadal: 20:52 Sure, Francisco. Very good question. When we talk about our three plants, if you talk about Piura, our plant in the jungle, these are plants that have pre-tight balance between grinding of raw materials, clinker production, grinding of cement, and dispatches. Not the case of Pacasmayo. Pacasmayo has been growing over last thirty years, where there were some cement capacity [outage] [ph], so what we have today was a very unbalanced plant. 21:21 So, what we're doing is basically – what we are doing basically is adding only clinker capacity why? Because we have enough raw material grinding, we have enough cement grinding. So, what we're doing is upgrading with [indiscernible] two thousand tons per day, that means six hundred thousand tons per year. And with this, we're going to raise the usage of our raw griding to one hundred percent. 21:48 So we'll have a very level plant. That's why investment seems apparently so low is you compare to; you remember the three hundred and sixty six million of Piura. Piura was a big greenfield here and this is why this decision makes so much chance, because it's limited amount or around seventy million dollars and we should – the payback is very, very quick, why? Because we're only adding the capacity we need. 22:13 Now, we'll have aligned that is a one hundred percent in usage raw grinding. It is going to one hundred percent in usage of clinker and we feel have some spare capacity in cement griding, which is always important towards the market. So, that's the rationality behind the decision.
Francisco Suarez: 22:31 That's perfectly clear. Thank you for that. A follow-up on Adrian’s questions on the cost structure. What can you tell us on flat costs that you are experiencing at the moment on coal prices as well? Do you see, and if you can answer this question and connect the dots between what is the level of inventories that are relatively at low cost in your books, compared to the additional inventories that you need to purchase on the spot prices now?
Humberto Nadal: 23:13 Yeah. I mean what we have seen over the last five months is a dramatic increase in the freight cost. I mean this is a world phenomenon. I mean, when we started importing clinker right after the pandemic, we reopened on pandemic, we were talking about seventy dollars of the clinker already, around seventy dollars of an importing clinker. That has gone up almost by thirty something dollars over the last month. 23:39 That what really pushed us also to make this decision of building the additional team. I mean, what we are hearing from the people that are the experts in terms of prices say, that these prices will not go lower in the coming not only months, in the coming years. They think they are going to level where they are, they [indiscernible] want to keep increasing. 23:57 So, like Manuel answered to Adrian’s question, I mean, the prices which were brought in clinker right now and the excess we're paying for every ton compared to our own clinker got to remain the same over the coming months and hopefully we’ll remain the same till we get our new capacity in eighteen months from now.
Francisco Suarez: 24:22 Yeah. And if you can elaborate on the cost of slag as well as coal?
Humberto Nadal : 24:30 Yes. I mean, let me really clarify on the question before I – because you asked about inventory. When I see the clinker prices are going to remain the same, this applies to the future acquisition of clinker. That's very important to clarify. In terms of the slag and coal once again, all of these are being impacted by freight costs that have been increasing. So, of course, I mean, depending what has been the slag, and the coal we mean from [indiscernible], that's going to be impacted by the same freight phenomenon. Manuel?
Manuel Ferreyros: 24:57 Francisco, hello good morning. Well, you have to consider the eighty eight percent of the total coal that you use we use, our unpurified coal that we buy locally. So, we have some impact of the cost of [vision] [ph], but we're going to have the major impact of the vessels.
Francisco Suarez: 25:19 Perfect. Thanks so much. Congrats again.
Manuel Ferreyros: 25:23 Thank you. Nice to hear you.
Operator: 25:27 Thank you. We have no further questions in the queue at this time. I will now turn the floor back over to Humberto Nadal for closing remarks.
Humberto Nadal: 25:38 Thank you. I want to thank everybody for joining today in the call. Indeed, the past year and half has been extremely challenging for everyone on a worldwide basis. In our case, it has pushed us to adopt much quicker that we were used to. Absolutely think outside the box in a permanent basis and learn to operate in very uncertain ground. 26:01 Decision making in this condition clearly is uncertain if not easy at all, but success, we strongly believe stems from very brave decisions. We are very confident that decision to commit to our country's long-term development and investment expand and optimize our capacity will bring significant returns in the near future and will consolidate Pacasmayo’s leading position in our region. 26:26 With that being said, thank you, everyone and as always – I think there's some follow-up questions.
Operator: 26:35 We do have two follow-up questions in queue. The first is coming from, once again from Adrian Huerta. Your line is live.
Adrian Huerta: 26:44 Thank you. Just to go back on the excess cost on the clinker that you bought in the quarter, fifteen million soles, one hundred thousand tons of clinker, I was just doing the math and that's around one hundred and thirty dollars per ton, U.S. dollars can you just clarify that Manuel please?
Manuel Ferreyros: 27:10 One second please. That's an over cost of thirty dollars per ton Adrian. Fourteen million soles [indiscernible] and over one hundred and fifteen thousand, it's thirty dollars extra start cost per ton for the third quarter and fourth quarter of this year.
Adrian Huerta: 27:41 But you said, fifty million soles?
Manuel Ferreyros: 27:45 Fifteen million soles, yes, one five million soles.
Adrian Huerta: 27:50 One five?
Manuel Ferreyros: 27:53 That’s right. Yeah, fifteen million soles.
Adrian Huerta: 27:57 I thought it was 50, sorry. Okay. Perfect. Excellent. Thank you.
Manuel Ferreyros: 28:05 An additional thirty dollars per ton during this quarter and next quarter. Next year pricing will go a little bit higher.
Adrian Huerta: 28:13 Excellent. Thank you.
Operator: 28:19 Thank you. Our next question is a follow-up from Francisco Suarez. Your line is live.
Francisco Suarez: 28:26 Apologies for the follow-up question, but regarding prices, first of all, congrats for passing that extra cost to find the consumer. The question is how risk it might to be continue pushing for higher price hikes in the sense of potentially attracting shipments from your competitors in Peru? I know that your import party prices has actually – it gives you a leeway to do that, but do you see any risk still on increasing further prices?
Humberto Nadal : 29:05 Francisco, this is Humberto. I think we have successfully read the market over the last almost sixty years, you should remain confident that we will continue to do so.
Francisco Suarez: 29:18 Okay, got it. And lastly on, when we see the shipments on Northern Peru, now we see that the total share of shipments to the total country based on the information that you share in your press release is roughly twenty seven percent of total shipments, which is actually quite high compared to the past ten years or so, do you think in other words that the overall conditions related with the reconstruction efforts in Peru, as you mentioned, the overall trends that you see that are driving self-construction linked to the [indiscernible] and so on, that would be enough to keep that level of demand as it is as now?
Humberto Nadal: 30:04 Yes. I think, Francisco, the key thing and you just mentioned is, full employment. I think the North of Peru is an example of our country when all the investments and the qualified people and people working very hard are there you reach important levels of employment. You have three cities that are over one point something million people or growth there. So, I think you have twenty seven percent of sales and national dispatches should remain because those conditions are prevailing in the north and happily as a Peruvian, I must say that they are not prevailing in the south only.
Francisco Suarez: 30:41 Got it. And of course, penetration is relatively low, isn’t it? I mean, the kilograms consumed per capita are really, really low in spite of the rising demand?
Humberto Nadal: 30:54 I think more than really, really low and I think we discussed this in the past. When you go into per capita, you have to divide per capita for housing up per capita for infrastructure. I think per capita per housing is rising constantly over the last years, but [indiscernible] per capita in terms of infrastructure, that one is really, really low. 31:13 So, in the end, it will bring the whole average to a lower level. I think the per capital of housing is okay, but the per capita for infrastructure is disappointingly low.
Francisco Suarez: 31:25 Perfectly understood. Thank you so much.
Humberto Nadal: 31:29 Thank you.
Operator: 31:32 [Operator Instructions] We have no final questions in the queue. Mr. Nadal, do you have any final comments?
Humberto Nadal: 31:54 No, like I said before, I mean, I reiterate that we are very confident [indiscernible]. We have taken last stride about this new investment. We have been here for decades and we are always very optimistic about the future of our country, and we are absolutely sure that we will follow a growth path in the coming years and Pacasmayo will be permanent part of history of this country. Thank you very much. And as always, we will always hear if you have any further questions. Have a great day.
Operator: 32:28 Thank you ladies and gentlemen. This does conclude today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.